Operator: Good afternoon and welcome to Urgent.ly’s Fourth Quarter and Full Year 2024 Conference Call. As a reminder, today's call is being recorded and your participation implies consent to such recording. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. With that, I would to turn the call over to Jenny Mitchell, Vice President of Finance Strategy and Investor Relations. You may proceed.
Jenny Mitchell : Thank you, operator. Good afternoon, everyone, and thank you for joining us for Urgent.ly Inc.’s financial results conference call for the fourth quarter and full year ended December 31, 2024. On the call today, we have Urgent.ly’s CEO, Matt Booth and CFO, Tim Huffmyer Following Matt and Tim's prepared remarks, we will take your questions. Before we begin, I'd to remind you that some of our comments today may contain forward-looking statements that are subject to risks, uncertainties and assumptions which could change. Should any of these risks materialize or should our assumptions prove to be incorrect, actual company results could differ materially from these forward looking statements. Description of these risks, uncertainties and assumptions and other factors that could affect our financial results is included in our SEC filings, including our most recent annual report on Form 10-Ks for the year ended December 31, 2023, our quarterly reports on Form 10-Q and other filings and reports that we may file from time to time with the SEC. Additional information will also be set forth in our annual report on Form 10-K for the year ended December 31, 2024. Except as required by law, we do not undertake any responsibility to update these forward-looking statements. During today's call, we will also discuss certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our earnings materials and press release, which are available on our website at investors.geturgently.com. Also, a replay of today's call will be posted on website. With that, I will now turn the call over to Matt.
Matt Booth : Thanks, Jenny. Good afternoon, everyone, and thank you for joining us today. I'm pleased with our performance during the fourth quarter where we delivered revenue of $32 million which was in line with our expectations and notably our fifth consecutive quarter where we delivered on our revenue guidance commitment. We also continue to make improvements in both non-GAAP operating expense and non-GAAP operating loss. Over the last 24 months, we have moved the company closer to non-GAAP operating breakeven. We've had meaningful success reducing expenses and improving margin. I want to mention a few statistics when comparing our December ‘22 year to date numbers with our December ‘24 year-to-date numbers. We had a 57% improvement in gross profit from $20.1 million in ‘22 to $31.6 million in ‘24. A 29% reduction in non-GAAP operating expenses from $68.8 million in '22 to $48.8 million in '24 and a 65% improvement in non-GAAP operating loss from $48.6 million in '22 to $17.2 million in '24. We are very pleased as we continue with our tech enabled services and other strategic initiatives to improve margin and set the company up for sustainable and profitable growth going forward. Turning to 2024, at the beginning of ‘24 we announced our strategic priorities for the year which included expanding our B2B incident business through securing renewals, expanding relationships with existing partners and developing new customer partner opportunities all while delivering outstanding customer service. Improving operational efficiencies which included the integration of Otonomo, driving margin expansion and driving towards non-GAAP operating breakeven and finally improving our capital structure. I'm excited to provide you with an update on our accomplishments and the meaningful progress we have made in executing against our strategic initiatives to position Urgent.ly for sustained profitable growth to capitalize on the near and long term opportunities ahead. First, I will review our efforts to accelerate profitable growth. 2024 was a big renewal year for us and annual roadside contract is between one and five years in length, the typical length of three years. As a result, one third of our revenue on average is up for renewal each year. However, in 2024 we renewed nearly one half of our run-rate revenue with an activity across both OEM and fleet customers. Notable renewals include a two year renewal with a global automotive OEM known for its focus on safety, quality and innovation. Under the renewed contract Urgent.ly continues to power the automotive OEMs warranty based roadside assistance program as well as its post warranty roadside assistance membership plans in the U.S, Canada and Mexico. A three year renewal with a customer partner that operates a global automotive fleet management company or Urgent.ly provides the fleet management company's roadside assistance program. A two year renewal with one of the largest worldwide vehicle rental companies, Urgent.ly connected assistance platform will continue to run the vehicle rental company's roadside assistance program enabling exceptional mobility assistance experiences including knowledgeable support for electric vehicles. We renewed all but one of our contracts that came up for renewal. We previously announced this in January of 2024 and on subsequent earnings calls. Each renewal underscores our client satisfaction and trust in our mobility assistance platform. We believe securing our revenue for renewals sets the foundation for revenue stability which will help to drive further growth. We also remain focused on building upon our existing customer relationships to expand our product offerings within an account. Expansion activity for 2024 included providing incremental call center support offering differentiated bands of service through VIP offerings and supporting our customers as they expanded into new products and vertical markets. One example was a two year renewal with a global automotive OEM known for its precision engineering and commitment to deliver unparalleled driving experience. The renewed agreement includes the expanded relationship geographically from the U.S. To include the Canadian market. In addition to the contract renewals and expanding services with existing customer partners, we are also focused on signing new customers. One such example was a new customer partner agreement that represented a significant expansion into a new market with a direct-to-consumer subscription and insurance aggregator. This customer will launch in 2025 In addition, we recently signed and launched a multiyear customer partner contract with a prominent recreational vehicle lifestyle brand that serves outdoor enthusiasts across the U.S. And Canada. We signed the contract during the fourth quarter and launched in late December. We believe our positive momentum with contract renewals, expansions and new customers further validates the strength of our technology and the outstanding level of service we provide to our OEM customer partners and their customers. We believe delivering exceptional service visibility and transparency to our customer partners to be a key differentiating factor for us in the marketplace. We pride ourselves on our outstanding customer service. We are proud to have achieved our customer service scores of 4.5 out of five stars in 2024 and we have consistently maintained these service levels. In addition, our product and technology teams are innovating to positively advance the motorist experience. I'd to highlight some of these key technological investments we've made in the last year. First, we've enhanced our platform logic related to vehicle drop off location to allow our partners to define and configure drop off location parameters using a larger set of variables such as vehicle year, dealership and proximity. On the customer support side, we enhanced our computer telephone integrations with additional intelligent call routing and auto population of customer data in the customer support screens, both features help us to reduce handle time. We also improved our dealer tech dispatching logic which now better enables our customer partner dealerships to set and define their own service areas. Finally, we developed AI driven dynamic pricing technology which makes it possible to reliably predict and optimize job prices for roadside assistance services leading to higher quality customer experiences. For this effort, we were recognized this past October with the Auto Tech Breakthrough Award for overall Transportation Tech of the Year. I couldn't be more pleased with the progress and momentum we have made to drive growth back into the company. Fueled by the full year impact of these new customer launches, we believe we are positioning ourselves to continue this momentum in 2025. Our second priority was to drive operational efficiencies across the business towards achieving non-GAAP operating breakeven. I'm proud of the steps forward we took last year to optimize our business and drive margin expansion. First, we took actions to enhance our partner mix by exiting unprofitable contracts. In addition, we increased pricing to better align with the value we are delivering. We also advanced our technology platform upgrades to increase visibility and efficiency in the marketplace and launch capabilities to further optimize the match of service providers to the service. We've achieved meaningful progress in this area as evidenced by the 160 basis point year-over-year improvement in gross profit margin in 2024 as compared to '23 and the 11.3 point improvement in gross profit margin compared to 2022. Controlling operating expenses is also a critical step in navigating the path to achieve non-GAAP operating breakeven. In 2024, we finalized the transformation of our customer service operations by optimizing the staff balance between nearshore business process organizations and onshore call centers. We continue to leverage technology and process optimization to our service model through the activities such as streamlining alerts, proactively identifying high risk jobs and enhancing telematics integrations to drive additional refinements in this area. We also consistently look internally at the business to find opportunities to create additional efficiencies. As an example in September we completed the divestiture of the Autonomous business unit, the flow as part of our strategic effort to divest non-core assets and dedicate our resources to advancing our core business. We also evaluated all areas of the organization to right size teams and best support our current portfolio of customers. To that end, we achieved an 18% year-over-year improvement in non-GAAP operating loss for 2024 and a 62% year-over-year improvement in non-GAAP operating loss during the fourth quarter and we are targeting non-GAAP operating breakeven in mid-2025 which will be a significant milestone for the company. Our third priority was to improve our capital structure. In February of 2025, we secured a facility for up to $20 million with MidCap Financial which Tim will outline in greater detail in his comments. We appreciate the support of Highbridge, Onex and WhiteBox Advisors as they extend their partnership with us. We believe their continued support is indicative of the confidence that exists among the leading financial, automotive, mobility and strategic investors in the strong business that we've built. We expect these capital structure improvements will allow us to strengthen our commitment to our customer partners, service providers and customers as we continue to transform the market with our market leading digital platforms, products and solutions. In closing, I am very proud of the contribution across our team for what we have accomplished in the past year in securing contract renewals, launching new customers, optimizing cost and driving efficiencies into the business, innovating our technology to drive exceptional customer experiences for both our customer partners and end users and enhancing our capital structure. As we look ahead to 2025, our core priorities remain return to growth, expanding our existing B2B incident business through securing renewals, expanding relationships with existing partners and developing new customer partner opportunities, achieving non-GAAP operating breakeven through our operational improvements, margin expansion and managed growth, continuing to transform this market with product innovations that drive differentiation, margin improvements and exceptional experiences for our customer partners and drivers. Thank you for your time and continued support. I'll now turn the call over to Tim to discuss our financial results.
Tim Huffmyer : Thank you, Matt, and good afternoon, everyone. Today, I will discuss our fourth quarter and full year 2024 results. Before I do that though, let's recap the recent updates to our capital structure. We are pleased to have completed our new credit agreement for an asset based revolving credit facility for up to $20 million with MidCap Financial, which was signed on February 26 and was used to repay existing indebtedness to our first lien lender and will support the business as we continue to transform the legacy roadside assistance market. The facility also provides for an additional $5 million of borrowing as the accounts receivable borrowing base increases. Also on February 26, we extended our credit agreement with Highbridge Capital Management for 17 months through July 31, 2026. Highbridge agreed to delay the repayment of certain back end fees under the company's second lien agreement in exchange for the issuance of approximately 1.4 million shares of common stock and an extension of its second lien term loan until July 31, 2026. Also part of the extension includes either quarterly PIK interest or a quarterly cash interest payment, all based on certain financial measurements at the end of each quarter. Overall, we appreciate the lender's support as we work through the new debt facility and terms. Now let's review the financial results. For the fourth quarter, revenues were $32 million which was within our guidance range of $30 million to $33 million and a decline of 29% or $13 million from the same quarter last year. The year-over-year revenue decline is primarily related to the non-renewal of one auto manufacturer customer partner. For the full year, revenues were $142.9 million down 23% or $41.7 million from the same period last year. The year-over-year revenue decline was in line with our expectations and was primarily driven by the reduction in dispatch volume from the customer partner non-renewal that we had previously announced in January of 2024, our decision to move away from less profitable revenue and lower volumes across several existing accounts. This was partially offset by account growth across several other existing accounts and the launch of a top five global OEM customer partner earlier in the year. For the fourth quarter, gross profit was $7.1 million down $3.1 million compared to the same period last year. For the full year, gross profit was $31.6 million down $6.3 million compared to the previous year. The gross profit decline correlated with the revenue reductions previously mentioned. Gross margin for the fourth quarter was 22% compared to 23% for the same period last year. Gross margin for the full year was 22% compared to 21% for the previous year. The increase in gross margin is primarily related to the mix of service dispatches and our continued technology optimizations allowing us to better manage our service provider costs. Now let's move on to operating expenses. Reducing operating expenses has been a primary focus area for us this past year as we position the company to achieve non-GAAP operating breakeven. Operating expense for the fourth quarter was $11.7 million a decrease of $22.3 million or 65% from the same period last year. Operating expense for the year was $58.8 million a decrease of $25.2 million or 30% from the previous year. As previously discussed, most of our operating expenses are headcount related. So on this call, we will focus on this initially. At the end of the fourth quarter of 2024, we had 182 total employees, a reduction of 167 employees or 48% when compared to the end of the fourth quarter of '23, just after we completed the merger with Otonomo. This number also includes the divestiture of 64 employees, which was in connection with the Flow transaction as discussed last quarter. Additional operating expense improvements were made across the organization, most notably within our operations and support line item and as part of the business and operational model changes, we started in 2023 and continued in 2024, migrating a portion of the customer support resources from the United States to business process organizations located in Central and South America. In addition, we implemented technological improvements and 5% decrease and a $10.9 million or 45% decrease in operations and support expenses for the fourth quarter and full year of 2024, respectively. These technological improvements and optimization activities reduced our reliance on customer support representatives, who are employed through our BPO partners. At the end of the fourth quarter of 2024, we had 189 full time customer support representatives compared to 404 at the end of 2023, which is a reduction of 215 customer support representatives or 53. Within our general and administrative expenses during the fourth quarter, we recorded a onetime business tax expense of approximately $800,000 related to a multiyear audit. We did not anticipate this tax expense at the time when we previously provided our outlook on our prior earnings conference call. Also recorded in the fourth quarter was $500,000 related to the write off of contract fulfillment costs for software integration that had been previously capitalized, all associated with the termination of the previously announced top five global OEM contract in the fourth quarter. We also review non-GAAP operating expenses, which is defined as GAAP operating expenses plus depreciation and amortization expense, stock based compensation expense, non-recurring transaction costs and restructuring costs. Non-GAAP operating expenses for the fourth quarter was $10.1 million, an improvement of 44% from $18 million dollars in the prior year period. Non-GAAP operating expenses for the full year 2024 was $48.8 million an improvement of 17% from $58.8 million in the prior year. This non-GAAP operating expense reduction is in line with our expectations through 2024 and more clearly shows the results of the operational efficiencies and leverage we've achieved along with integration efforts with the Otonomo merger. Overall, we remain focused on optimizing our operating structure to drive further improvements in this metric. GAAP operating loss for the fourth quarter was $4.6 million a decrease of $19.2 million or 81% from the same period last year. GAAP operating loss for the year was $27.2 million, a reduction of $18.9 million or 41% from the previous year. We also review non-GAAP operating loss, which is defined as GAAP operating loss plus depreciation and amortization expense, stock based compensation expense, non-recurring transaction costs and restructuring costs. Non-GAAP operating loss for the fourth quarter was $3 million an improvement of 62% compared to $7.9 million in the prior year. This non-GAAP operating loss was higher than expected and discussed during our previous earnings conference call, primarily related to the previously mentioned business tax expense recorded in general and administrative. Additionally, our non-GAAP operating loss for the full year of 2024 was lower when compared to the non-GAAP operating loss in the previous year. Non-GAAP operating loss for 2024 was $17.2 million a reduction of $3.8 million or 18% from the previous year. During the fourth quarter and full year, we capitalized approximately $1.3 million and $5.9 million respectively in software, mostly to make enhancement to our platform by adding features and functionalities, which benefit all our customer partners. We expect this practice to continue in 2025. As of December 31, 2024, we had 13.5 million common stock shares outstanding, which does not reflect the reverse stock split that our stockholders voted on earlier today. The reverse stock split is intended to enable us to regain compliance with the NASDAQ listing requirements. The final ratio and timing of the reverse stock split will be determined at the discretion of our board of directors. We intend to effect the reverse stock split on March 17, 2025, and -- by filing an amended and restated certificate of incorporation with the Delaware Security of State. Turning now to our outlook. For the first quarter of 2025, we expect revenue to be between $30 million to $33 million and our non-GAAP operating loss to be less than $1 million. Additionally, we are targeting non-GAAP operating breakeven in mid-2025. Our expected common stock shares outstanding at the end of the first quarter is 14.9 million, which does not reflect the reverse stock split previously mentioned. With that, we are now happy to open the call for questions. Operator, please open the line for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. The first question today comes from Jim McIlree with Chardan Capital Markets. Please go ahead.
James McIlree: Yes, thank you. Good evening.
Tim Huffmyer : Hi.
James McIlree: Hey, Tim. I was hoping we could focus a little bit on [indiscernible]. I was hoping we could focus a little bit on the revenue comments that you guys made. First, you talked about the renewals renewing half of the run rate revenue, can you characterize the pricing of those renewals that is they were at the same price or up or down?
Tim Huffmyer : Yeah. I'll go and then Matt, you can add if you need to. Generally speaking, pricing has been holding pretty well. A couple years ago, we did include some CPI-type price escalators in our contracts. So we do have the opportunity to revalue and reprice our contracts as needed. So we feel pretty good about that pricing that we're not seeing -- with those renewals, we weren't necessarily giving anything away and felt strong with the partnership and the value we were delivering that we could hold pricing pretty well.
Matt Booth : Yeah, I'll just -- Jim, I'll just mention one other piece. A lot of the contracts that we're seeing these days we're starting to see segmentation in them. So might be the standard rate, as Tim said, really is unchanged beyond the economic escalators that we have in the contracts. There are a handful that are coming in that have new programs like VIP programs in them that are typically priced a little bit higher, as we've mentioned in the script. We're seeing more and more of that across the portfolio where people, customer partners want differentiated programs for their drivers. We expect that trend to continue, if not pick up through '25.
James McIlree: Great. Okay. That's helpful. And regarding the expansion and the new customer activity, can you help me understand how that gets layered in over the course of this year?
Tim Huffmyer : Yeah, go ahead.
James McIlree: I was just going to add, I'm referring to, is it back-end loaded? Or do we get a big jump, let's say, in Q2 and then it flattens out for the rest of the year? That's what I mean by how it's layered in?
Tim Huffmyer : Yeah. Good question. So we did announce a new customer partner in Matt's prepared comments. We actually launched that real late in the fourth quarter. So that had very little impact on our results here that we've announced, but it is in there and it will be in the first quarter. And in this particular notion, there was a slight ramp. So that's kind of ramping through the first quarter of 2025. And we'd expect that to -- to be fully ramped here early 2Q mostly. Matt, you can correct me if I'm wrong on that, but I think that's our expectations.
Matt Booth : No, that's correct.
Tim Huffmyer : Jim, sometimes with our contracts, they just turn on and it's 100% on day one. And sometimes there's a slow ramp for transition purposes, we've got to work out technology, kinks sometimes, things like that. So there's different reasonings and every partner is a little bit different how they handle it. This one was a gradual ramp here through the quarter.
James McIlree: Got it. Okay. Tim, the guidance for Q1 is -- the guidance for Q1 is flattish with Q4. Is there seasonality issue here? Or is there just the way the contracts are getting layered in, can you help me understand that progression?
Tim Huffmyer : Yeah. So the main change there, Jim, and this -- you'd have to go back to our last script, but we did talk about losing, and I mentioned it in my prepared remarks, but we did talk about contract that got canceled and that got canceled in late fourth quarter. We had announced it in our November remarks. But that was a larger contract than the one that we added that we just talked about. So there's a little bit of a difference there in the sense that I lost one that was larger, and I'm adding one back that's not quite as big, although my although my absolute number may be the same. But that's the primary reason. We have a little bit of seasonality through the holidays and with weather events and things like that. But all in all, that seasonality isn't really showing itself a whole lot in the first quarter. It's mostly the contract that -- that left us that basically strategically decided to go in a different direction in the fourth quarter?
James McIlree: Right. Right. Thank you for that. And one more question, if you don't mind.
Tim Huffmyer : Please.
James McIlree: So you talked about moving customer service to different locations and reorganizing it. And I'm just curious how you tested that to make sure that it's still going to be able to provide the same level of service that you're paying customers' want and what risk that might pose for customer dissatisfaction and increased churn, let's say, 18 months or 24 months down the road?
Matt Booth : I'll take that. So Jim, we started that process, 18 months ago, two years ago, Tim, it's been quite a while to get it. So most of the outsourcing and kind of balancing across domestic and nearshore operations has been in place for quite a while. Before we launched any of them, just to give you some background, we did some -- we did thorough testing to make sure the quality is where it needs to be. And we did note that our customer service scores have been 4.5 out of 5 stars and has been consistent across that time period. There are some places where new programs that we're launching, in example, VIP or other kind of customer-centric programs around the drivers that we decided to move some back onshore and strategic places, but we haven't seen a degradation of quality. We're very strategic about where we use nearshore call centers. As an example, it may not be on the driver side, it may be on the service provider side or on the billing side or on the network side. As an example where we can get more leverage. So it's -- the impact has already been felt and it's already been worked through the system. We don't believe we have a churn risk because of that.
James McIlree: Okay. Very good. I appreciate your patience with me. And thanks a lot. We’ll talk later.
Tim Huffmyer : Thanks, Jim.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Matt Booth for any closing remarks.
Matt Booth : Great. In closing, we're very proud of the significant progress we've made to position the company for profitable growth, and we look forward to providing everyone with further updates on our progress on future calls. If you'd like to meet with management, please reach out to us at investor relations at geturgently.com, and we were more than happy to schedule a call. Thank you again for your interest in Urgent.ly and for joining the call today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.